Operator: Good morning and welcome to the Match Group First Quarter 2017 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Lance Barton, Senior Vice President, Investor Relations. Mr. Barton, please go ahead.
Lance Barton: Thank you, operator, and good morning, everyone. I am joined on the call by Match Group Chairman and CEO, Greg Blatt; and Chief Financial Officer, Gary Swidler. Greg and Gary will be reviewing the investor presentation that has been posted to the IR section of our website and then we will open it up for questions. I'd also like to remind everyone that during this call we may discuss our outlook and future performance. These forward-looking statements may be proceeded by words such as we expect, we believe, we anticipate, or similar statements. These statements are subject to risks and uncertainties, and our actual results could differ materially from the views expressed here today. Some of these risks have been set forth in our earnings release and our periodic reports filed with the SEC. Now I'll turn the call over to Greg.
Gregory Blatt: Hey, everybody. Good morning. Glad that you joined us for our Q1 earnings call. We had a great first quarter and year is looking very solid. I'll talk about sub growth and product and marketing strategies, and Gary will take you through the financials and our outlook then we will take questions. Let's jump right to Slide 4. Overall PMC growth was very strong, driven by international PMC growth which was really excellent. Tinder drives more of that growth rate because it's larger on a relative basis in North America, Meetic doing really well, POF and OkC both are starting to contribute more internationally and Pairs in Japan continues to prove to be one of our smarter acquisitions in a long, long time. As we said on the last call, the end of 2016 and start of 2017 had sort of a wired funk to them in North America, sort of across the board in our businesses for no clear reasons. We thought maybe election, but we don't really know. Regardless, it finally pick up again in the beginning of March with that rebound continuing through today. This initial slowness combined with some marketing spend shifts to Q2 impacted North America PMC a bit, but nonetheless we are generally on track. We had strong growth from Tinder and POF, Match and OkC were generally consistent with what we expected. And of course the biggest impact on the quarter was from affinity and its continued control run-off casting us a large chuck of PMC on a year-over-year basis. Again, that loss of PMC is unprofitable PMC. So it doesn't really affect our underlying economics, but it does drive down the year-over-year sub comps and has an impact on year-over-year revenue. We expect that negative affinity comp to persist for several quarters. Now let's dig into each of our individual business a bit. Slide 5, Tinder obviously had great PMC growth in Q1 and it's starting to slow just like the bunch of our other businesses, but then picked up again in March. We launched SuperLike to non-subscribers and continue to drive up overall revenue through optimizing between PMC and a la carte. Again most of the things that we do through PMC, we can also do through a la carte, in fact many of them we do on a hyper basis with the subscription you get some part of the a la carte usage. So we are sort of constantly optimizing there and toggling, and focus primarily on revenue growth not necessarily PMC growth or a la carte growth in isolation, but optimizing the two. It's pretty amazing that we are now number two in app store revenue for non-gains globally behind only Netflix. We are certainly always confident that we will be able to build a great subscription business on the Tinder products, but it's obviously incredibly gratifying to see it come through the way it has. It's an incredible business with great monetization characteristics. We have also implemented the Facebook Ad engine we talked about last quarter. We use it to fill access inventory beyond our direct efforts. On testing with the rate somewhat by the tech debt related feature freeze that we talked about last quarter and we will talk about a little bit more later, but it's starting now. We should have a good sense of where we're going to be on that front next quarter. Turning to Slide 6. On the Tinder product side there continues to be a lot going on. Two very long running projects; SMS Authentication and Tinder Online are both now in test, it's early, but the preliminary results are promising. It looks like we should see a user bump to specialty internationally, but it's also too early and noisy to quantify. Additionally on the online business, we will be watching online payment sometime in Q3. We certainly never get the same sort of mix of payments online as we have with our other businesses, but over time we do expect to be able to move a portion of our users to pay us outside the app store. That will be a nice bump to margins, but we will play out over time. Again, hard to predict the exact level of impact at this point, but once we've launched it we will be working to optimize that part of the business. We also finished finally cleaning up our tech debt in both our Android and iOS app. This is a big multi-month project occupied a lot of our tech resources. Thankfully it's already paying nice dividends in terms of reduced crash rates and generally higher performance. Probably most importantly it really should set a solid foundation for easy integration on products going forward, easier code to write fewer bugs and just faster iteration. Finally, now that we're finished with our feature freeze, we've got a number of new projects in the pipeline that were changing navigation, improving our recommendation engine in part through the uses in very cool AI from our dedicated and top notch data sciences team at Tinder. We are adding new revenue features and a host of other cool stuff; I can't really talk about yet. But I said last time the Tinder will look and feel different to our users by the end of this year and we are well on track to bring that around. A ton of energy is going into increasing Tinder's vibrancy, creating new features and experiences to enhance our relationship with our users all key to driving our continued growth. Slide 7, as we turn to our other business, I want to step back for a second. Going back to when we are taking Match Group public. Our big challenge in these businesses was conversion. We are dealing with a huge shift from desktop to mobile and our products couldn't keep up. We said we are confident we could fix it, but new we have to prove it. I'm glad to say that the outcome on that is no longer really in doubt. After seven consecutive quarters of conversion declines which dramatically impacted this business, we've just completed our fifth straight quarter of conversion increases year-over-year. We've created mobile products, did not work for our users and they're responding accordingly. Having fixed that part of the product, we're now turning our attention to grow in the top of the funnel. Here we're again looking at product is the driver the backed in many cases by marketing spend. As I mentioned in last call during our quest to develop mobile products that work well, our product lost their individuality. In this space you need to be differentiated, you need to stand for something. Over a period of years, our product to develop their unique identities over more than a decade gave a fair amount of that way. Now we're fully oriented around getting it back. Let's start with Match. As you could see here on Slide 7, we said we're going to improve mobile web that we have. We said that we rebuild conversion and it's now at highest point since 2014. The reality is the biggest collection of online daters, and potential online daters with a high propensity to pay, the right in the Match trend we'll ask. These people want our relationship. They want to trusted band and they're willing to pay for filtering based on intend. There's no other product that they're better positioned to continue to capture and to further expand into this group. The sweet spot is Match is to hold and to expand. Our strategy for 2017 is to release a cool distinctive new feature each quarter of 2017 and build an aggressive marketing campaign around each one. The first is misconnections, the location based feature that is really driving engagement. We just launched a new TV campaign around a couple weeks ago. Our first ever campaign really focused on a product feature and the early returns are promising. Next quarter, there will be another feature back by another campaign then the next quarter after that and then the next quarter after. The roadmap is set. We think each individual feature related campaign will be effective, but we also expected cumulative effect from the aggressive product release schedule and heavy marketing focus on our product innovation. Match has never done anything like this before. Frankly, I've been doing this a long time. I can't take a single product owned by us or anyone else. It will release the series of significant consumer features in such rapid succession and we're going to that each of those rollout with the most significant marketing spend in the entire category. We really think by the end of the year and it made major changes in how people think about Match and our ability to grow our user base in that most attractive of all users segments. Slide 8, turning to OkCupid, who doesn't who are core users are and then try to bring features that appeal to those users to the forefront. OkCupid has always had a uniquely educated and engaged audience. But OkCupid as it transition to mobile, a lot of avenues for self-expression and lots of centrality of it's Q&A engine which is always been the heart of that engagement. Now we're getting its mojo back. It really is a fundamental redesign, more way to present express yourself on a substantive level, funny ways to deploy the Q&A engine throughout the product and we're seeing significant conversion increases year-over-year on the new product, because OkCupid isn't backed by meaningful marketing spend. It may take a little longer for the improvements experienced by our current users to translate into increases in new users, but we believe it's only a matter of time. This will be a very unique product once we got rolling our changes through and we think very true to its heritage and its core appeal we expect this to really resonate the meaningful audience and drive renewed growth. On Slide 9, each of our products work differently. They all do the same thing, but they do in a different ways and the cool thing about POF is the average user has twice the number of conversations the users rather products do. It just naturally more of a communication app. The barriers or fewer, the audience is more open to engagement. This tries uniquely social experience on POF, but no one really knows that. Now we're bring it all to the forefront of its branding and its product, design features that drive that highly conversational elements and remind users of that's what makes POF special. We're very early, but conversations were already up 14% year-over-year due to these changes and again we are really just getting started. As with OkCupid, we think is kind of distinctiveness drive satisfaction, which drives increased towards the amount. But we've also been spending some marketing dollars behind POF and it's been quite successful in Q1. We see the opportunity to ramp POF marking throughout the year and that can give us a whole new avenue for growth. Slide 10, Meetic approach right now a little more tractable. For example it's recently developed a new AI driven chatbot to help accelerate traffic to registration conversion. This is just featured by Facebook at the recent F8 Developer Conference is being the standup chatbot applications. It's really cool to small test deployment right now, but I think for shattering the kind of really special things, we can do is we invent deeper and deeper into new technologies. Additionally and probably more immediate impact, Meetic will be launching a whole new product in Q2, backed by marketing investment that we think will really get traction in Europe. Can't get into the details now, but this is more than a little app that we threw out there and see what happens, it really fall at the Match Group concept of identifying target audiences, delivering products to meet them and through that bring down our acquisition costs. We think there's an opportunity to drive additional subs with new channels for profitable marking spend and really looking forward to launch. It's a real part of our sort of increase in marketing spend throughout the year. In all, my many years here, we've never had such a robust landscape of product development innovation and differentiation laid out for us across the board. Over the next 12 months, we expect to be going deep on location based technology, deep on video, deep on game dynamics, deep on artificial intelligence, ranging across our products each one making different best to leverage common successes, while reestablishing their unique individuality. The end of the day, we're trying to deliver cool products to our users to help them make meaningful connections to their lives in front end engaging ways and the pipeline has never been impact as it is right now. All these new features grow out of the coming months. The marketing start to get behind it and I am confident, we're going to see our top of the front of these brand start to grow just like conversion did year-ago. Gary?
Gary Swidler: Thanks Greg. Now let's turn to the financial review and outlook for our business. One note everything I discussed exclude the Princeton Review because that sales closed at the end of March and we are now including a discontinued operations for all periods. On Slide 12, you can see that we experience strong revenue operating income EBITDA growth in Q1 2017. As Greg mentioned, you actually started a little weaker than is typical, which caused us to be a little conservative in our outlook for the quarter, but March and April of - trends compared to January and February. For Q1 total revenue of $299 million, up 15% driven by 16% PMC growth in steady ARPU. FX impact caused as $3.5 million in the quarter or one point of growth. Revenue benefited from increased year-over-year marketing spend in Q4 2016 that manifested itself at higher revenue in Q1 2017. Typically year-over-year changes in marketing spend have a largest impact on subsequent quarter year-over-year revenue comparisons. International direct revenue grew 30% driven by 33% PMC growth. International benefits from our fast growing Tinder business representing a greater portion of revenue. North American direct revenue grew 8% year-over-year with Tinder and POF driving strong growth, but the intentional right-sizing of affinity brands was a significant headwinds. We are optimizing the affinity brands for long-term profitability. As we cut on profitable marketing spend, we reduce subscribers in revenues, but don't really affect profit. We should be in a position to start growing properly again affinity once we right-size of the business. We're down just slightly on ad revenue in the quarter as we continue to work to offset the reduction and impressions caused by the shift to mobile at our formerly desktop brands with higher average. Note that our results do not yet show the benefit of Tinder's agreement with Facebook's Audience Network, which began testing in April. We had 72% operating income and 28% adjusted EBITDA growth in Q1. The quarter benefited from some cost controls, but also a decline in year-over-year marketing driven primarily by significant decreases at affinity as well as some pushing of marketing spend from Q1 into Q2. Operating costs and expenses were 80% of revenue compared 87% in Q1 2016. Operating income also benefited year-over-year from $6.3 million decrease in amortization intangibles related to the PlentyOfFish acquisition and $1.9 million reduction in expense related contingent consideration in connection with the previous acquisition. Slide 13, shows our ARPU, which has continued to be very steady. Total ARPU grew $0.002 year-over-year, but around and it looks like a $0.01 change. The six largest businesses in our portfolio Tinder, Match, OkCupid, Meetic, POF and Match Affinity all shows flat or higher ARPU year-over-year in Q1 on a constant currency basis. North American ARPU is up $0.01 for the quarter, we're selecting better monetization in most of our brands partly offset by the mix shift to lower price brands. International ARPU was down 2% due to FX impacts. The FX impacts in the quarter was $1.07. International ARPU for the quarter was up 7 times of a $0.001 on a constant currency basis. Overall ARPU increased approximately 1% or $0.005 on a constant currency basis. Tinder's ARPU Q1 continued to benefit from strong a la carte revenue from subscribers was continue to more than offset for shift to lower ARPU international markets. Overall ARPU will continued to be slightly impact by our gradual portfolio mix to our lower ARPU brands and the faster PMC growth we are seeing in international markets. Turning to the next Slide 14, we had $84 million to free cash flow in Q1 and we continue to grow cash balances. We recognize meaningful proceeds from the sale of The Princeton Review just under $100 million and so we now have $436 million of cash on hand, $260 of it held domestically. As you can see from the right side of this slide, we've been delivering quickly. We're now at 1.8 times net leverage and 2.8 times gross leverage, below our three times target. For some time we've been saying that we use our cash to the delever or for opportunistic M&A that remains the case, but today we're also announcing that our board has authorized us to repurchase up to 6 million shares of our stock. We think this is a great additional capital management tool for us to have. We are very mindful that our public flow is quite constrained and we still expect flow to increase over the course of 2017, but our stock had tended to fluctuate fairly meaningfully and the buyback authorization enables us to take action if the circumstances warrant. This is not a buyback authorization. We plan to go into the market aggressively. It's possible we don't use it at all, but we do think given our cash flow characteristics that's a good arrow to have it on cooper and enables us to act opportunistically to drive longer-term shareholder value. The buyback is similarly size the proceeds from the Princeton Review sale, so you can think of it is potentially returning gross proceeds to our shareholders, so again, how much of this will end up using. Given our strong free cash flow generation and our strong balance sheet, we're confident in our ability to consummate a buyback, continue to delever and execute compelling M&A transactions should they present themselves. Turning to the next Slide 15, this lays out our financial outlook. At this time we are not changing our full-year 2017 outlook. We're on track to be within the region we presented and it's only Q1, so we're not going to tinker at this point. We've always said that marketing spend can vary easily quarter-to-quarter which can impact any individual quarter, but EBITDA over the course of an entire year and that's the case here. Altogether, our first half of the year will be very close to what we expected coming into the year. While marking spend was down significantly at our non-tinder businesses in Q1. We expected to ramp on a year-over-year basis during the balance of 2017. We expect marketing spend to be up meaningfully year-over-year by Q4 2017. On our last call, I noted that we expect revenue momentum to build throughout the year as Tinder's product momentum accelerates from a purposely slower first half which has been focused to a large extent on tech equipment and we see the expected improvements in our non-affinity businesses driven by revitalized product and increased marketing spend as Greg spoke about. That remains the case. Additionally, ad revenue should ramp as the year progresses. Tinder's increased in average PMC in Q1 was impacted by the somewhat slow start to the year that Greg mentioned in his remarks, but this has picked up nicely beginning in March. We continue to expect Tinder's Q2 increase in average PMC to be moderately lower than Q1 given normal seasonality with an accelerating again in the back half of the year as we roll out some significant new monetization initiatives. As we had said previously, we are focused on overall revenue growth at Tinder not specifically subscription revenue and are targeting between subscriber growth and a la carte revenue. A la carte revenue is increasingly contributing to Tinder's performance. Our Q2 revenue really reflects the impact of the decline in Q1 marketing spend. The ramp in marketing spend at Timber and non-affinity brands in Q2 will impact our Q2 EBITDA. All in we had a strong Q1 financially, we're executing on our 2017 priorities and we are reiterating the full-year outlook we provided on our last call. With that, let's open the lines to questions.
Operator: Thank you. We will now begin the question-and-Answer session. [Operator Instructions] Our first question today will come from Brian Fitzgerald of Jefferies. Please go ahead.
Brian Fitzgerald: Thanks, guys. Artificial in terms it seems like an interesting way to innovate some of your products, we saw checkup launch on Meetic platform, can you talk maybe about avenues in which you could utilize AI that is in the future and how you see it playing out for your other different brands?
Gregory Blatt: Yes. It's going to be very big. Tinder alone we've built an unbelievable dedicated data science team run by Professor Lou, who take over from McGill, all they do is work on AI. It is most simple form right. It's going to drive amazing enhancements to recommendation engines. I mean the technology they are developing within a few swipes they can start to tell exactly what you want, who you're interested in et cetera. And the early prototype they're very exciting. Then goes to be able to select where you should go on a date. Make proposals about sort of common interests and common suggestion, and it's really exciting. There are also various things we're playing with in terms of augmented reality and communicated through augmented reality through AI that sort of allows with facial gestures and other forms of non-verbal communication to pick up signals and send visual back and forth, it's really amazing - it's amazing what we're starting to be able to do. Chatbot, we take this another example of it. So I think I mean everywhere AI is just starting to scratch the surface, but were making a big investment in it. It's not quite rolled out in our recommendation engine yet, but will be soon and really expect it to just build from there. So we think it's one of several exciting technology sort of vectors that are starting to sort of really transform category location, video, AI, I think these are all the very big and we are making investments across the board.
Brian Fitzgerald: Great. Thanks, Greg.
Operator: Our next question will come from Dan Salmon of BMO Capital Markets. Please go ahead.
Dan Salmon: Hey, good morning everyone. Gary, as I sit here and look at I guess Slide 13 with ARPU trends here, I think back it was always part of our thesis at least that this bigger trend down over time. Is that still the case, I mean did it appear that maybe over the long-term, especially Tinder is performing above your expectations? I mean you said in your prepared remarks, you really expected it to be a platform that monetize as well. But I'm just curious more than just with the incremental product developments are doing on the smaller things? Is there a big picture change that's happening here? And then secondly just specifically on Tinder social perhaps just a little bit of an update on what you're seeing for engagement there and you mentioned PlentyOfFish, the higher rate of conversations than other apps is that an opportunity for more social opportunities there? Thanks.
Gary Swidler: Thank you, Dan. On the ARPU I think I do expect it over time to decline although I think modestly. What you have - what has happened over the last year and a half has really been able to sustain Tinder ARPU through the growth in all of our revenue to subscribers. That will continue to some extent, but I do think the exceptional growth we're seeing in rest of world PMC at Tinder. We'll start to overwhelm that. Pricing is different between North America, Western Europe and rest of world, and while PMC growth is strong everywhere. Shockingly, the rest of the world is bigger than North America - than Western Europe. And we're seeing proportionality there. So I think that it hasn't declined as fast as we expected certainly and we've adjusted our own views of the rate of mix shift and our ability to offset it through these other means. But I do think of the long-term it will decline modestly. The POF question was - on Tinder social I think we want Tinder social in the form that we did I think it is not in hugely impactful. I think that we continue to run it and I think we are pursuing a number of social features that don't run through Tinder social per se. So we tested something called Tinder tonight. We're also working at a number of new features, the goal is still to engage people beyond one-to-one, Tinder social itself was not hugely impactful. In terms of POF, I think the higher conversation rate is unique to POF. I think because it is more social in terms of people communicate more, I don't know that it's necessarily leads to social dynamics the way we're pursuing in Tinder, and go by the Tinder, I think it's a different audience space, something in a different case and I think Tinder is the place where you will see the most social dynamics in terms of groups, events, all that sort of things versus some or other properties.
Dan Salmon: Okay, great. Thank you.
Operator: Our next question will come from Peter Stabler of Wells Fargo. Please go ahead.
Peter Stabler: Good morning. Two if I could. First of all going back to the affinity wonder if you could give us a little more color on the run-off you put in the 120K. Can you give us a rough split, GO split of the 120K and then can you help us at all size the run-off going forward and when we might start lapping that? And then secondly on Match you talked about the product oriented marketing plan Greg you - can the first time you guys have gone down this path. And you said it's going to lead to higher marketing spend behind Match just want to make sure that all of that increase in marketing spend is already fully contemplated in your guidance? Thanks so much.
Gregory Blatt: Yes, I'll take the second one first, the answer yes. We said that our marketing spend is somewhat variable through the course of the year. We sort of pretty cap on and we certainly don't think on margins will come down as a result of the marketing spend, but it shifts around between different businesses. We certainly have always contemplated increasing the Match marketing spend throughout the year, as Gary said was in our number were down in Q1 year-over-year marketing spend we expect to be up meaningfully by Q4 year-over-year. So the Match marketing spend is relative to week expand that we talked about in terms of the new products all of that built into our guidance.
Gary Swidler: So Peter the run-off of affinity and the run of the street brand are two slightly different things I just want to make sure everybody is clear on this we have some non-strategic brands that portfolio that we acquired that we are intentionally running down.
Gregory Blatt: Portfolio that we acquired cheap and these where you know $7 million acquisitions that pick up and see experiment et cetera, but have meaningful PMC.
Gary Swidler: So those have been running down for several reporters but they remain as they continue to run down a headwind on North American PMC numbers and it is a relative piece but when you look at the totaled 120,000 PMC, but that bulk of that is caused by affinity which is this step function run down that were potentially doing as we focus on higher ROI targets for our affinity marketing spend. And that impact is going to it's prevalent in this quarter it's going to last for another two or three quarters as that business gets right-size and then net impact will start to lessen. So that there we're going to see in our performance and our metrics for the next couple of quarters and then that will be less of the factors. So I just one of make sure ones clear and what's the impact is in our PMC numbers as you feel both of those impacts one that's going to continue to run down and one that is a function of the next two or three quarters and then will start to improve.
Peter Stabler: Apologies Gary, but sort of 120 is predominantly North American.
Gary Swidler: I am sorry it's all of the business in North America.
Peter Stabler: Okay.
Gary Swidler: Okay most the non-strategic brands all guys in North America and got the two components the non-strategic brand as well as the affinity cost of the predominant piece of the 120 a run down.
Peter Stabler: Thank you.
Gary Swidler: Okay.
Operator: Our next question will come from Jason Helfstein of Oppenheimer. Please go ahead.
Jason Helfstein: Thanks. Two questions, so one, can you comment or give color on MAU to PMC conversion just any color would be helpful? And then second, the magnitude of the Tinder a la carte and advertising when we think about getting to fourth quarter of this year or early next year maybe help us understand as you're thinking about it how big that could be relative? Thank you.
Gregory Blatt: So MAU to PMC conversion it continue to drop as I said we don't get five consecutive quarters in all are formally you know all are more established brands that conversion go up is obviously positive. On Tinder which is sort of excluded from that group. Again conversion continues to be strong Gary said we're going to launch some new significant modernization feature in Q3 we haven't really launch anything this significant while that will continue to drive up conversions. So conversion overall across portfolio is definitely going up. Gary you want to take that question?
Gary Swidler: On the outside we talked about first of all we don't feel the impact of the Facebook Ad Network program yet in our result, but as that continues to be implemented we will see if we get revenue from that and to the Ad revenue is scaling in the back half of the year and we talked about being a little bit faster than our revenue growth on outside. So this quarter is basically just down side on that but we should see improvement in the direct revenue line as the year progresses.
Gregory Blatt: And then on a al carte, again I think the majority of our al carte revenue comes from subscribers and that is built into our ARPU line. So I think that it's all obviously within the guidance. And I think that as Gary said ARPU is sort of holding steady at Tinder much as a result of those increases in a al carte. We are starting to grow a al carte outside of PMC which is not included in the ARPU number and still relatively small. And I think it doesn't have positive impact, but it's not sort of continent moving by any stretch at this point.
Operator: Our next question will come from Eric Sheridan of UBS. Please go ahead.
Eric Sheridan: Thanks for taking the questions. Maybe one for Greg, just wanted to understand all that product detail that was really great, I think is that question probably aren't in terms of how that product innovation works through the conversion as move through 2017 and 2018. So maybe just a color of product innovation and how it please out the marketplace, I think any color you could give there would be really helpful. And then Gary, nuance question, but the share count was a little bit higher than we thought in Q1, I just wanted to understand that was one-time in nature in terms of the share counts for the Company? Thanks guys.
Gregory Blatt: Okay. On product, I think there tend to be although not always. A bucket of product work to drive conversion in a separate bucket of products work that drives usage marketing users. Not always different, but they're usually different. And clearly as we develop product in the non-conversion bucket, we are very mindful not to trip up conversion bucket. When you look at something like misconnections, which actually drives the increased communication, in the product like Match increased communication drive increased conversion, there are sort of very aligned. SuperLike at Tinder was an example of something that it was both. But on a business like POF for instance where it's free to communicate driving out conversation doesn't necessarily impact conversion one way or the other, it just drives additional usages. So I think the way to think about it is there was always conversion work being done in the background that you don't necessarily see or hear about it from us, but you are going to hear about it sort of out there. And then there is that consumer facing stuff that is a stuff where a user uses the product one day and then uses the product next day and that's different and that sort of what I was outlining today. As I said our focus has not been there over the last three years as we've really been focused on trying to create a functional mobile products that drive monetization the way we need to and now we're really focused on that sort of excitement factor, the differentiation factor. And we've don't expect it to negatively impact conversion and in fact we expect that. In totality we will be driving conversion up through the year even as we drive those initiatives.
Gary Swidler: And Eric, on the share count if you're focused on shared outstanding related to the adjusted EPS calculation which shows about 20 million share increases quarter-over-quarter. That's really related to the adoption of ASU 2016-09, which basically adjusts the treatment of excess tax benefit. You can no longer assume with the shares are bought back. So a little more than half of the change in that share increase is related to the adoption of that with the remainder of it related to new option grants and things like that that occurred in the first quarter. So it's the accounting change that is really driving that number of shares higher, the total is about $20 million and you gain about a little bit more than half is probably related to the accounting change.
Eric Sheridan: Perfect. Thank you.
Operator: Our next question will come from John Blackledge of Cowen. Please go ahead.
John Blackledge: Great. Thanks. Couple questions, what are total affinity subs now and how much more runoff in 2Q and 3Q? Second topic would be Match.com U.S., you guys sort of tracking on plan, just wondering what that means from a PMC perspective or Match.com U.S., PMC is up down flat in 1Q and how does that trend through the rest of the year? And then last kind of topic, Tinder, a la carte can you give us a sense of the split between a la carte and sub revenue for Tinder and maybe just advertising spend a small for Tinder right now. If you can just give us sense of like long-term mix of Tinder sub-revenue versus a la carte versus advertising, sorry for all the questions. Think you.
Gregory Blatt: I was testing my phonography skill, which I'm sure I'll sale that. On the city side, again we don't give the individual sub numbers for any of our businesses by Tinder. I think that run-off that number is going to be somewhat sustained belt that proportion on a quarter-over-quarter basis for a couple quarters. I think it's a meaningful portion of the affinity pretty subs, but certainly a lot less than half. And we've got a stable core very profitable subscriber there that we're going to retain and then build. In terms of Match, Match PMC year-over-year, again we don't give the number, but it is down slightly as we start to ramp up the marketing and the product initiative. Again we said by the back half of the year - in the back half of the year, Match in OkCupid will sort of cross over back to the year-over-year sub growth and we still expect that to be the case. In terms of Tinder a la carte, again the most we can say is that the bulk of that is from subscribers and that is built into our ARPU because we toggle, we have a whole - we talk about this in a lot of other businesses in the same holds true for Match. We think about pricing on a dynamic basis. We sort of established a subscription fee. You build off that, then over time you start to discount to certain cohorts to drive additional sub, simultaneously you offset that by offering ad on a la carte features to those subs who willing to pay more that's how we've been maintaining ARPU at Tinder even is international mix is grown. So we toggle between those tactics all the time and I think thinking about them in separate and thinking about them as to what percent if we get it really the right way to think about it or model, it not right the way we do it. We think about it mostly as an ARPU driver with some additional revenue opportunities outside the sub base. Did I get all or did I miss - I don't remember with the ad question, what…?
John Blackledge: The ads question.
Gary Swidler: I think just trying to get a sense of the direction on ad revenue. I think what we said is, again ad revenue growth overall for the year to somewhat faster than our overall revenue growth is going to be relatively flattish in the beginning part of the years. So we'll ramp as some of the Tinder initiatives take all the back half of the year.
Gregory Blatt: But also again, I've also said driving the ad revenue as fast as we can is not our priority right now. It is hard to believe, but we still struggle over engineering resources, fighting for where they go every day, no matter how many people were added. We don't have enough people to do all the things we want to do. So it's a struggle and just the reality is that the ad business is not the leading priority there as we continue to drive out really cool consumer facing features and focusing our direct revenue basis. So I think that you were testing the Facebook piece and you get it right our plan is for to grow slightly better than direct revenue. But it's not as much of a focus as the other and I think we're learning a lot about it and we expect that to be the case. But I think we're not pushing as hard on the pedal as we could and don't expect to this year.
John Blackledge: Okay. Thank you so much.
Operator: Our next question will come from Heath Terry of Goldman Sachs. Please go ahead.
Heath Terry: Great. Just a couple of quick questions, on the Affinity network customers that you're churn off. Are you able to migrate them over to one of the other platforms, even if it's to one of the premium platforms in a way to keep them in the ecosystem or do you have a sense of what they're doing once they leave the platform? Are they going to a competitor or they're just giving up on all together? And then on Tinder, as you look to grow internationally and have gotten further into monetization with some of the efforts here in the U.S., any change in your view of what you see the sort of steady state paid member penetration as a percentage of MAU or as a percentage of the total base being over time?
Gregory Blatt: Surely thanks. On the first question, I said we say that we are still a lot of doing nearly as much as we could and should be doing in terms of managing users across the portfolio. We do some mostly between Match and our Affinity brands we have not really begun to tap into the opportunities with our soft paywall businesses and our hard paywall businesses it is a question of resources. There is lots of opportunity there to move people both ways which we really have not begun to do. So unfortunately the answer is we have not meaningfully I mean get there are some movement right now between Match and our Affinity businesses, but we have not developed any special strategy for doing that here. I think a way to think about it and therefore we're not sure where they're going I think a way think about it is these are generally people who are harder to attract who we've had to pay more to attract therefore somewhat less valuable consumers I'm sure that some of them moving coming back using our product maybe there are some using other products of those again our affinity users to a lot of the affinity just especially the harder to acquire friendly users tend to be not as robust users of products. So I think there's probably leakage from the system there and that was driven by our overspending to acquire them. In terms of the Tinder penetration continues to go up, it is driven by new features, new markets et cetera. We don't sort of publicize our penetration rate set and you know in our long-term we expect that as rates continue to grow for certainly for the foreseeable future and again we monetized as I said we expected to be able to drive the meaningful business on top of this great product. It is gone even better than we expected and we expect that growth to continue, lease for the foreseeable future.
Heath Terry: Great. Thank you.
Operator: Our next question will come from Brandon Ross of BTIG. Please go ahead.
Brandon Ross: Good morning. Thanks for taking the questions guys. First, thinking more about ARPU trends can you help us size for you are at in the Tinder sub mix between North America, International X rest of world and then rest of world and where you think that goes over time? And then what's your best guess as to when you see core returning to Europe for your sub gross at this point is that still a back half of 2017 event. And then just one more you authorized some modest buyback and talk to future capital returns in the prepared remarks. How thought is your capital return program to IAC Ownership? Thank you.
Gregory Blatt: Okay. Let me trying - I'll take the last one first which is it's not our buyback program that our capital return I mean IAC is that obviously a significant shareholder has represented on the board but Match get managed for Match in it shareholders. I see as certain rights I think it has a preemptive right to get exercise that want to as not done that but our capital deployment is driven by our own corporate governance structure. In terms of Tinder sub mix again we don't give up the specific data say that if you take North America and Western Europe together which behave pretty similarly made up obviously the majority I would say probably you know you can think about it maybe is three quarters one quarter roughly, but record world is growing faster than the rest and so over time we expect this growth everywhere but over time we expect rest of world to expand as a percentage. In terms of holding affinity aside in terms of the certain North American core. Yes, I think by the end of the year we do expect that's become positive again affinity is going to you know obviously level said it. But we're still on track, we still on track with any side.
Brandon Ross: Thanks very much guys.
Operator: Our next question will come from Doug Anmuth of JPMorgan. Please go ahead.
Douglas Anmuth: Thanks for taking the question. Two things, first Greg just wanted to ask on Tinder and just how you're thinking about kind of learning so far on experimenting with products inside and then outside of the PMC Paywall, SuperLikes you had originally kind of the inside for PMCs and then moved out. And then when you talk about the significant monetization features in 3Q, should we assume that that's really just for PMC? And then secondly if you could just comment a little bit more on the timing and kind of a trend that you saw in 1Q the weaker January, February and into the better March the degree to which that's continuing into 2Q and how to kind of think about that relative to your comments on a seasonally slower quarter as well? Thanks.
Gregory Blatt: Sure. In terms of - if I understood your first question, look our philosophy on our soft paywall businesses is generally that we offer features behind the paywall that we couldn't really offer to everybody. Meaning if we have a feature that it's going to make everybody experience better, but we will give it to everybody. But there are some features that if you gave everybody would hurt the echo system which you can give to a smaller number of people, for instance Boost is an example. Boost is a feature where it allows you to sort of move yourself ahead in other people's rec engines or by definition you couldn't give that to everybody because it's a relative comparative advantage, so you charge for it, same thing with SuperLike. The whole point is to create scarcity and then you'll allow people to buy beyond that scarcity. So that's the way we sort of think about features that are paid and think about features that are unpaid. In terms of new monetization feature, we are rolling out roughly as I said were somewhat agnostic behind which we exactly how we make money in this area. And I think that this feature in particular maybe something of a hybrid the way some or other features have been. We're actually experimenting with a number of different ways to do that. We're confident to drive monetization meaningfully and certainly PMC will be a part of that, it may or may not be the only part of that. It was just weird. I mean I don't know I've been doing this for a long time sort of in November thing sort of just became a little muted. It stayed muted in December, it stayed muted in January, I think we talk February 1 and I think we said it was sort of a weird start to the year continued into February, absolutely turned in March has continued in April, it's sort of things are back to the world that we know better. I have no expertise or ability to tell you exactly what was going on and then I was a little weird. The best thing we could point to was that it was sort of the post-election was weird and there was a lot of weirdness, but we are not pundits. I don't really know exactly what happened, but it was not brand specific, it was sort of across the board. So that's really all we know.
Douglas Anmuth: And within that weirdness was it both engagement and conversion or more of the latter?
Gregory Blatt: It wasn't really conversion, it was more - again once conversion is really driven by the people - once you get the people in the door conversion is product related and [indiscernible] floating on traffic really across the board both in our marketing and non-marketing businesses, so everything was just a little slow that's all.
Douglas Anmuth: Okay. All right. Thank you.
Operator: Our next question will come from Mark Kelley of Citigroup. Please go ahead.
Mark Kelley: Hey. Good morning, guys. Thanks for taking the questions. And I'll apologize if this is answered, bouncing between calls, so if you address this stuff, sorry. On the Facebook inventory, I know it's super, super early, I know it was pushed out a little bit, but any indication of what you might expect in terms of that - CPM would be helpful. And then in terms of Tinder mobile web, what kind of adoption are you expecting relative to app usage? Is there anything that you learned from Match that could maybe help us think about how that progresses? Thank you.
Gregory Blatt: On the ad side, I think we are not getting the CPMs here, but the big target for us is going to be ad load at Tinder. And I think work started as I said, I think we're going to be conservative this year. We've not built in terribly aggressive to ad loads, but we care most about in Tinder is our user experience and certainly at the ad levels that we've been driving through our direct business there's zero impact. Is the Facebook deal allows us to frankly do whatever ad load we want from sort of unlimited inventory? So now that the constraints till their own view of user experience. We're going to test that over time. I think we're doing some additional testing now and then we'll sort of set a bar and roll it out more broadly probably end of Q2, beginning Q3. We're going to be somewhat conservative there, which is built into our numbers for this year. I'm losing my short-term memory. What was the other question? On the online piece, second hardest thing to project that we've done. We think it's really cool. We think it's an opportunity to again hopefully increase margins and also to create a somewhat different experience to the desktop pieces. The mobile web piece is relatively similar to the native app that the desktop experience just really cool and different and sort of lead the different use case. But we don't really know. I think any comparisons to match would just fall short, I mean match the mobile web is a big part of the mobile experience. We don't think that will ever happen here. But it was enough that we know that we can drive mobile usage especially - I mean mobile web usage especially in sort of lower bandwidth market where the native apps are harder. So we don't know. We think collectively as I said between the Ethernet and the web products. We are seeing in early test of night pubs in user shift. But it's probably too early to quantify, certainly not built into our numbers. It will be a little slow in rolling it out, because they are big changes to the ecosystem and we think there's some positive upside there. And there are big projects and it's nice to see them have a little payback.
Mark Kelley: Got it. Thank you very much. I appreciate it.
Operator: Our next question will come from Lloyd Walmsley of Deutsche Bank. Please go ahead.
Lloyd Walmsley: Thanks. Two if I can. First, just following up on the Tinder mobile web question, just curious what kind of user behavior you're seeing there? Is that more of a kind of reduce friction around a trial and then migrate someone into an app or do you think someone will use the web version on mobile permanently? And do you think these users of the same capacity to convert to paying members? And then second question, last quarter you guys talked about some trials of influence or marketing in emerging markets that sounded like kind of inexpensive, but promising tactics. Wondering if you can just give us an update on that?
Gregory Blatt: Sure. On the mobile web side, again it's early and I think most of our testing has been done in markets that, that's not in the U.S. It's not in some of our bigger more established markets. I think that internationally, I think there are areas with smartphones, with smartphones challenges, with bandwidth challenges, there is some reluctance to download dating apps on to your desk, which we think it's an online usage use case. There is desktop. So we think it could be a mix of incremental users and joint usage, but it's early and we just can't really layout exactly how that's going to play out yet. In terms of the conversion, again we're rolling out payments in Q3, unlike all our other businesses that are set up for credit card pay and et cetera. Tinder has done everything to the app store and building that up at scale is not a small patch you have to prevent fraud and there's all sorts of stuff. So that's going to roll on Q3. We think conversion. We would naturally expect conversion on a similar user, meaning on the same user, we expect conversion to be lower that too we've seen our other businesses. But the question for us is the 30% lower. It is not 30% lower than we make money by shifting from the app store to mobile web and we think there will be opportunities to do that exactly how much and how materials will be, we're not predicting right now. It's certainly worth the effort, we're building it and we're going to see over time.
Lance Barton: Okay, we have one final question, we have time here.
Operator: Okay. Our next question thank you - will come from Nat Schindler of Bank of America. Please go ahead.
Nat Schindler: Yes, probably quickly Gary, you mentioned that you would see float increase over the year even as you operating $6 million buyback, wondering where the shares are likely to come from? And also has there been any update or any more talks from IAC with their plans on the Match shares?
Gregory Blatt: On the second question the answer is, it's not something we deal with I see I know how investor call, yes I think we get investor call tomorrow, they're the shareholders they may those decision. So no question should be directed to them. In terms of share cuts we've got a lot of security I think we've been public now for will be go on two years we expect there to be exercised over time there could be M&A activity. So it's not we're not thing you're going and doing some big secondary operating in two months but just naturally we expect flow to continue to increase and we don't expect our buyback activity to be greater than that natural increase inflow.
Gregory Blatt: Listen thanks everybody for joining us. Let this quarter we're excited about the rest of the year and we look forward to speaking to you guys next quarter.
Gary Swidler: Thanks so much.
Operator: Thank you, everyone for attending today's presentation. The conference has now concluded. You may disconnect your lines.